Operator: Good morning, and welcome to the CECO Environmental Conference Call. All participants will be in a listen-only mode. After today's presentation, there'll be an opportunity to ask a question. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Steven Hooser, Investor Relations. Please go ahead.
Steven Hooser: Thank you, Kevin, and thank you all for joining us on the CECO Environmental fourth quarter 2023 earnings call. On the call, with me today is Todd Gleason, Chief Executive Officer; and Peter Johansson, Chief Financial and Strategy Officer. Before we begin, I'd like to note that we have provided a slide presentation to help guide our discussion. The call will be webcast along with our earnings presentation, which is on our website at cecoenviro.com. The presentation materials can be accessed through the Investor Relations section of the website. I'd also like to caution investors regarding forward-looking statements. Any statements made in today's presentation that are not based on historical fact are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may differ materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in our SEC filings included on Form 10-K and the end of year, December 31, 2023. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today, whether as a result of new information, future events, or otherwise. Today's presentation will also include references to certain non-GAAP financial measures. We provide the comparable GAAP and non-GAAP numbers in today's press release and provide non-GAAP reconciliations in the supplemental tables in the back of the slide presentation. And with that, I'd now like to turn the call over to Chief Executive Officer, Todd Gleason. Todd?
Todd Gleason: Thanks, Steven, and to our audience, thank you for your interest and continued support. If you would, please turn to Slide number 3, which is entitled Q4 and full year 2023 earnings highlights. I'm going to start with an overarching comment that we delivered an outstanding quarter and a tremendous full year. We are proud of the financial records in 2023, of course, but even more excited to advance our leadership positions in industrial air, industrial water, and the energy transition. With that, let's review the slide. On the left side of the slide, we list a number of key accomplishments that I will quickly review. The right side of the slide compares our full year results against our most recent full year guidance, which we provided in November 2023. As the green check marks indicate, we achieved or exceeded each of our key financial targets as we closed the year. As we outlined in today's press release, CECO delivered multiple financial records during the fourth quarter. Our quarterly and full year financial performance showcased strong continued growth, which is a result of our world-class teams delivering for our global customers every day. We continue to invest in our people, our processes, and our solutions to ensure we meet or exceed customer requirements with respect to their needs. Thank you, Team CECO, for your customer first focus and accountability for performance. Now, let's review some of our fourth quarter and full year highlights. The section on the left of the slide captures some of those achievements that we delivered this year. I am pleased to share that our fourth quarter revenues represent the highest quarterly sales in the company's history. The prior company record for sales was last quarter in Q3 2023, so we continue to maintain steady sales growth. We also delivered the highest gross profit and adjusted EBITDA dollar levels in our history. Backlog as of December 31 was $371 million, up 19% when compared to the same period last year, and is the highest year-end backlog in our company's history. Even as we continue to transition our portfolio to more short and mid-cycle sales, orders for the year yielded a book-to-bill of approximately 1.1%. So, in short, it has been a solid performance from our businesses ensuring that we continue to drive great growth. And with our sales pipeline of over $3.5 billion, we expect to maintain our solid bookings trajectory. The combination of our record year-end backlog as well as the very strong sales pipeline and our overall execution, gives us the confidence and visibility to raise our previously announced full year 2024 guidance, which I will cover in more detail soon. Switching gears to our investment strategy, 2023 was another year of significant steps being taken in CECO's transformational journey. We deployed approximately $60 million in growth capital, with much of it targeted towards the completion of three acquisitions. We are pleased with the transactions we completed in 2023 as they continue to deliver outstanding financial performance while also adding top-notch talent, new technologies, and further round out our very well-positioned market leadership, and given the strong free cash flow we delivered, we maintain a very healthy balance sheet. Now please turn to Slide 4 and let's review a snapshot of CECO's fourth quarter and full year 2023 financial results. Peter will cover many of these financial figures and metrics in more detail in a few minutes. However, let me highlight a few areas. I will mostly stick to the right of the slide which covers full year 2023, as Peter will spend a little bit more time on the fourth quarter results. The panel on the left side of the slide provides a snapshot of CECO's fourth quarter financials, all of which are very strong. CECO's full year orders of $583 million represent the highest annual bookings level in our company's history, continuing a trend of outstanding, excuse me, of outstanding orders growth which drove year-over-year growth of 11%. As a reminder to our audience, we have been growing orders steadily since the second half of 2020, so this is definitely not just a 12 month phenomenon, but rather a continuation of positive change to deliberately convert global customer and market demand into CECO bookings. And as always, I caution against focusing on quarterly bookings because there are many factors that influence the timing of an order, including the mix shift of our long, mid, and short-cycle sales. Internally, we focus on full year outlook and results. Sales of $545 million was also the highest annualized levels for CECO, producing a year-over-year growth rate of 29%, which follows full year 2022 sales of over 30%. Additionally, as I mentioned previously, fourth quarter sales were a record level for any quarter in the company's history. For the full year 2023, organic sales growth was approximately 22%. Full year adjusted EBITDA of approximately $58 million was up 37% year-over-year. This result produced adjusted EBITDA margins for the year of 10.6%, an increase of approximately 60 basis points year-over-year. As a reminder, full year margins would have expanded 110 basis points if not for a favorable insurance item in 2022. Additionally, we expect our annual G&A investments to level off a bit, which we expect will deliver higher conversion on future top line growth. Adjusted EPS in the year of $0.75 was up modestly versus full year 2022, as our 2023 EPS overcame approximately $0.20 of higher interest expense. Finally, we generated $36.2 million of free cash flow in the year. We overcame a slow start to 2023, that if you recall, saw negative cash in Q1. In the second half, we delivered about $40 million of free cash flow as we managed working capital very well. Our businesses are doing a great job driving that working capital which allows us to maintain our disciplined capital allocation strategy focused on organic growth and programmatic M&A. So, to conclude this slide, just tremendous records and outstanding results. Now please turn to Slide number 5, In previous earnings and investor presentations, we have articulated how we have transformed our portfolio over the past several years. We introduced this new slide to help capture that ongoing transformation. In 2021, shortly after I joined CECO, we outlined a high level strategy to transition from a portfolio which had been heavily dependent on long cycle and very cyclical legacy energy markets. Our goal was to increase our percentage of shorter cycle sales mix as well as reduce our percentage of business mix that was tied to cyclical long cycle business. As the slide shows, our current portfolio is exceptionally balanced. Industrial Air currently accounts for approximately 40%, while Industrial Water and Energy Transition are each around 30%. We have also increased our short-cycle sales to approximately 30%. This transition has occurred while we have delivered tremendous growth and performance. Our full year sales are 72% higher in 2023 when compared to 2020 levels and our backlog is up an eye-popping 103% over that same period. Importantly, we have delivered outstanding shareholder value. Since mid-2020, which is when I joined the company, CECO has delivered over 250% of shareholder value in both stock price and market capitalization growth. I can assure you that management is very aligned with shareholders. We take this very seriously. It is also rewarding to be recognized by Fortune Magazine as one of America's Most Successful Public Companies as noted on the top right corner of the slide. Our employees and global partners are proud of our success, so this recognition is appreciated. We expect to continue to deliver outstanding growth while we advance our portfolio through deliberate investments in organic and programmatic M&A. I'm not going to read all the comments on Slide number 6, but let's go there. I'll make a few points. First, we introduced a very similar slide a few years ago. We articulated that we would drive both tactical and strategic actions to deliver consistent growth and shareholder returns while we steadily transform our portfolio. We believe we have been very transparent with our goals and objectives and also feel we have delivered on our commitments. While you have to constantly adjust to market trends, headwinds, and other challenges, we did what we said we would do and this updated slide represents a similar high-level summary of our ongoing goals and intentions. From left to right, we expect to build off our foundational accomplishments as we turn our attention to the key actions we expect to drive in 2024 to maintain our strong growth and long-term shareholder value creation. Our commitment to high performance requires a real balance of initiatives to drive that short to medium-term result, as well as longer-term capital allocation programs to ensure we are positioning CECO for sustainable future performance. Each of these investments, for lack of a better word, ensures we continue to build commercial excellence, operational excellence, and also we utilize our capital to maximize returns. These initiatives, along with ongoing investments in culture and talent, are the heartbeat of our operating model. As we position for future years, we will provide updates on our progress against these programs and commitments, as well as other details on more granular initiatives. Now please turn to Slide number 7 and let's review guidance. As I mentioned in my earlier remarks and as you saw in our press release that we issued earlier today, we are pleased to share an update to our full year 2024 guidance. While we understand there are always unknowns and market dynamics that create pause with respect to forecasting in this environment, we believe CECO is in a unique position with better-than-average visibility to maintain growth. CECO's leadership in Industrial Air, Industrial Water, and Energy Transition will continue to benefit from investments in reshoring industrial production, sustainable infrastructure growth, global energy transition to new and renewable sources, and specific governmental investments -- excuse me, governmental investment programs such as the CHIPS Act and others. The combination of these positive market dynamics, coupled with our record backlog and great sales pipeline, gives us the confidence to raise full year 2024 guidance at this time. With respect to full year 2024 orders, we maintain a consistent outlook for a book-to-bill greater than 1%. With our robust sales pipeline being fueled by the mega themes I just articulated, we expect very strong bookings. As we always remind the investment community, our quarterly bookings levels might ebb and flow a bit, but for the full year, we expect to drive a positive book-to-bill. We are increasing our full year revenue guidance to between $590 million and $610 million, representing about 10% growth year-over-year at the mid-point. The updated 2024 full year guidance is compared to previously communicated outlook of between $575 million and $600 million, an improvement to both the low and the high end of the range. For adjusted EBITDA, we are updating the range to be between $67 million to $70 million for the full year 2024. This outlook would be up over 20% versus 2023 at the mid-point, representing further margin expansion for the year of about 75 basis points to 100 basis points. The current guidance is compared to the previously communicated outlook of between $65 million to $70 million. On free cash flow, we re-firm our expectation to maintain between 50% to 70% of EBITDA as our free cash flow target. So, to conclude, we raise our full year 2024 outlook to reflect our expectations given our tremendous backlog coupled with our commercial and operational excellence programs which will drive robust growth and further operating margin expansion. We also entered the new year with a very healthy balance sheet which gives us added optionality as we execute on our programmatic M&A capabilities. I will now hand it over to Peter and he will walk you through more detail on our financials as well as some additional color on our capital deployment and cash management in the quarter and upcoming periods. Peter?
Peter Johansson: Thank you, Todd. I am very pleased today to be able to present to all in attendance another set of solid financial results for Q4 and full year 2023, results that continue to demonstrate the strength of our performance and conviction in our strategy and operating model. As we exit 2023 on a high note, we are entering 2024 with confidence that CECO is in a stronger position and poised to deliver another year of excellent performance. Now, please turn with me to Slide number 9 where I'll present a more detailed picture of CECO's Q4 2023 results. Orders for the quarter of $128.3 million were the sixth highest for any quarter in company history and concluded a year in which CECO booked orders of $583 million, an all-time high. We continue to execute against a sales pursuit pipeline at all-time high levels, with strong conversion of the opportunities that reached the bid for order phase. When compared to the same period last year, orders in the quarter were down 15% and this was mostly driven by a significant individual order booked in the individual Energy Transition segment that raised Q4 2022 significantly and approximately $30 million worth of orders that were expected in Q4 that have moved into Q1 2024, part of the ebb and flow in our orders that Todd referred to previously. Revenues for the quarter of $153.7 million, a 32% increase over Q4 2022, were the highest for any quarter in company history, continuing a four quarter trend of record setting revenues benefiting from continued strong conversion of CECO's growing backlog and the positive impact of the Wakefield, Transcend, and Kemco acquisitions. Organic growth in the quarter was approximately 25%. Gross profit was $53 million in the quarter, a 41% increase over the prior year period and a record level resulting from higher shipments and higher margins. Margins were higher year-over-year by over 220 basis points and 570 basis points sequentially, driven by favorable mix and steady and improving execution. Full year gross profit of $171 million delivered a margin of 31.4%, a 105 basis point improvement for the full year. Adjusted EBITDA for the quarter was up 49% year-over-year to $19.4 million, a margin of 12.6%, and a 140 basis points improvement from Q4 2022, reflecting strong conversion on incremental revenue of approximately 17%. Both GAAP and non-GAAP operating income were up over 48% over prior year period. Adjusted EPS was up year-over-year as operational performance overcame the headwinds from higher interest expense. A quick comment on the year-over-year decline in GAAP EPS in the quarter. This decline was mostly driven by one-time items booked in the quarter related to tax allowances for select international legal entities. We do not anticipate this to recur. Now let's turn to Slide 10 for more details on CECO's order progression. With Q4 and full year 2023 results complete, CECO has continued our track record of double-digit growth and the run of eight consecutive quarters with orders greater than $100 million, delivering a record year-end backlog of $371 million. For the full year 2023, the order intake was balanced across Air, Water, and Energy Transition and averaged $146 million per quarter. Orders for the second half of 2023 of $275 million were essentially equal to the total for all of 2020. And for the 2020 through 2023 period, CECO's orders CAGR is a very healthy 28%. And with the $3.5 billion opportunity pipeline our teams are actioning, this gives us confidence the trend will continue through 2024. Now moving to Slide 11, for a more detailed review of revenue. We finished 2023 with record revenues of $545 million following a record-breaking sales quarter of approximately $154 million representing the seventh consecutive quarter with revenues above $100 million and a level over 2 times that of the COVID era bottom which occurred in the first quarter of 2021. The three-year revenue CAGR is a strong 20% and yet this figure trails the orders CAGR for the same period, further underpinning our 2024 growth outlook. Whilst our M&A activity has been a tailwind to revenue, with all three businesses acquired in 2023 growing at or above their respective deal models, it is important to note that the year-over-year organic growth for the company has been 22%. Now please turn to Slide 12 for a quick review of backlog and backlog trends. CECO finished Q4 of 2023 with a backlog of $371 million representing a 19% increase year-over-year, of which we expect at least 70% to convert to revenue in 2024. The sequential decline in backlog of $23 million resulted from the combination of record sales in the quarter and lower than expecting booking levels in the quarter given the previously mentioned delay in some bookings that moved to Q1 of 2024. On the bar chart showing backlog development, I would like to highlight that CECO's average quarter-end backlog balance for 2023 was $378 million. This represents a 30% increase year-over-year for another year with annualized book-to-bill revenue -- ratio, excuse me, of 1.1% in line with prior years. Let's move to Slide 13 and we'll discuss gross profit and EBITDA. Starting on the left side of the page, gross profit delivery for the fourth quarter was a record $53.2 million, a 41% increase over fourth quarter of 2022, continuing a trend of 30% or greater year-over-year increases. Gross profit margin in the quarter was 34.6%, up 570 basis points from the prior quarter and 220 basis points from fourth quarter 2022. The year-over-year margin expansion was driven by strong project execution and favorable mix, and sequential improvement was supported by the completion of a handful of low-margin projects and progress against supply chain challenges, both items which we highlighted in our Q3 2023 earnings call. Full year gross profit of $171 million represented a 33% increase over full year 2022, a 105 basis point margin expansion. The results in the quarter and for the full year give us confidence that the path we have charted for a return to the historical gross profit margin of 33% is well within our reach. Moving to the right-hand side of the page, let's quickly cover adjusted EBITDA. In Q4 2023, CECO delivered a company record $19.4 million of EBITDA. This result is a 49% year-over-year improvement representing a 12.6% margin, a 140 basis point improvement over the prior quarter on higher volumes, and favorable mix. On a trailing 12-month basis, adjusted EBITDA was nearly $58 million, a 30% increase over the prior 12-month period for a margin of 10.6%, up approximately 60 basis points. Excluding a one-time benefit from an insurance settlement in Q1 2022, year-over-year margin expansion will be closer to 110 basis points for a second consecutive year. I am pleased by the margin expansion we have delivered in the quarter, the full year, and since 2021, as we are balancing our investments in growth, building our organization for the long run, and driving margin improvement simultaneously. We expect to continue to realize the benefits of earlier investments in our platform and functional resources, our operating model, and our supporting business systems which will enable continued growth and profitability improvements. I am also seeing the benefits from our Global Corporate Services teams and the acquisitions which we have completed and are expected to continue further margin expansion in 2024 and beyond. Let's head to Slide 14 now for a quick review of our cash position and liquidity. As a result of our extremely strong cash generation, after a slow start to the year, CECO finished Q4 2023 with $55.4 million in cash, an increase of $9 million from year-end 2022. This is after funding three acquisitions, increasing CapEx by $5 million, and incurring $7 million higher interest payment expense in the year. Cash from operations was up 51%, or $15 million year-over-year, and net borrowings were lower by $21 million from a year ago. For the full year, CECO deployed $60 million in growth capital for M&A and CapEx, $51.5 million and $8.4 million respectively, and still we ended the year with a net debt to EBITDA ratio of a very healthy 1.4 times, a figure well below our max allowable levels. Net debt on December 31 was approximately $78 million, which although was an increase of $20 million over year-end '22, we still have increased our liquidity and available investment capacity by over $42 million and we now sit with availability of capital of $116 million. Now please turn to Slide 15 and I'll briefly review capital deployment in the year. On the left-hand side of the page is a brief overview of the two acquisitions we closed in the first half of 2023, Wakefield Acoustics in the UK, and Transcend Solutions in Texas. The integration of both companies is well underway, with the prior management teams fully intact and fully engaged. We remain very bullish on the growth prospects for both businesses and we are already seeing strong evidence of their abilities to double in size in the next two plus years. In fact, Wakefield will achieve this milestone in only the first year. Each company is a niche specialist with unique technical and applications differentiation that yields a strong margin profile and a defensible competitive position. After three plus quarters within CECO, each -- both companies are already realizing the benefits of being part of a larger organization with greater resources and a global reach. In the fourth quarter, we completed the acquisition and initiated the build-out of a new production facility that will enable Wakefield Acoustics to double its capacity and capitalize on a new growth opportunity in the data center backup power segment. We identified this opportunity during our due diligence and it has materialized even faster than expected. The expected commercial synergies across our Peerless business and the Transcend acquisition are starting now to be realized as we are winning new opportunities across our full range of the gas and liquid separation portfolio. The investment in expanding the Transcend rental vessel fleet is proceeding with expected returns in 2024. Our most recent acquisition, Kemco Systems, a leading industrial water solutions provider to the food processing and industrial laundry end markets, closed in mid-August. The integration is moving along nicely and our early post-closing impressions are very positive and highly supportive of our investment thesis, and I look forward to sharing more about this acquisition in the coming quarters. Turning to a few highlights from CapEx spend for the year. In 2023, our spend was $8.4 million, which is elevated compared to prior years as we continue to make select investments in growth and productivity in the USA and Korea, to expand our India organization which has doubled in headcount in 2023, and in IT, primarily in cyber and data security infrastructure and ERP migrations. That concludes my summary of CECO's fourth quarter and full year 2023 financial results, a quarter and a year in which the company and our teams delivered a series of record-after-record results. Before I turn the microphone back over to Todd, let me reiterate how pleased I am with these results. We have delivered record breaking orders, revenues, and profits in the year and still maintained our backlog at record levels. As we look forward, with a robust opportunity pipeline of approximately $3.5 billion and continued strong quotation activity, we feel very confident in the outlook for 2024 and for future growth. And now back over to Todd, who will take you through some additional commentary on our outlook and his concluding remarks.
Todd Gleason: Thanks, Peter. And a lot of good detail with respect to our financials and various insights into our performance. We're going to go to the final section and then our summary slide. Please turn to number 17. As we enter 2024 and now we've had a few months to really assess the current operating environment, I would say that many of the headwinds and tailwinds that we expected remain much the same. We have strong momentum from our acquisitions in many areas associated with industrial expansion. We remain bullish with respect to our growth prospects in high growth markets, and our global pipeline is at an all-time high. Conversely, we continue to see more delays in customer project start-ups, but they do seem to be moving forward once their overall project is organized. We have been dealing with higher interest rates for over a year and of course, we all have been overcoming challenges in supply chains for several years. These challenges continue, but are less disruptive. We are monitoring various geopolitical items as well because those can have a variety of impacts. And finally, we are attracting incredible talent, but the labor market remains tough in certain areas. Now please turn to Slide number 18. We already walked through this slide, but we felt it was good just to reiterate our guidance for the full year. We are committed to double-digit sales growth and adjusted EBITDA growth of approximately 20%. We have good visibility into our current backlog and expect our sales pipeline will yield solid bookings growth in the year. Now let's quickly advance to Slide number 19. This is a little bit of a new analysis with respect to our targeted margin goals. We felt it was important to outline our plans to achieve 15% adjusted EBITDA margins over the next few years. We start with the reference on the left side of the slide, that historically, CECO had sales of between $325 million to $350 million, and adjusted EBITDA margins of around 9%. We have grown to our current level of $545 million in revenue and 10.6% adjusted EBITDA margins in the most previous year. Over the next few years, we aim to grow sales to over $700 million and adjusted EBITDA margins of over 15%. As the margin walk demonstrates, we expect 150 basis points of margin expansion will be driven by gross margin expansion to between 33% and 34% or higher. This will be driven by better portfolio mix via organic and inorganic investments. Additionally, another 150 basis points is expected to be driven by our ongoing investments in lean deployment and supply chain excellence. We have a large opportunity across our enterprise in these areas. And finally, another 150 basis points of margin expansion is expected to come via strong G&A leverage. As we grow our top-line, we will simply, excuse me, we expect to simply expend fewer relative dollars in G&A. This conversion will add nice EBITDA margin expansion. We believe this balanced approach to driving higher margins is important and as our margins expand, we continue to execute on our growth strategy and we believe CECO will obtain a higher valuation which will further reward our shareholders. Now please turn to Slide 21 which is our summary slide. I would like to again thank our global teams for their commitment to customer-first. Our results have been outstanding and we are proud of our record growth in profitability. We remain committed to our strategic and accretive M&A program and we are pleased to share our raised guidance outlook. In summary, we have been and will continue to transform CECO. Our leadership positions in Industrial Air, Industrial Water, and the Energy Transition are very well positioned, and we are proud that our critical applications and solutions are protecting people, protecting the environment, and protecting our customers' investment in their industrial equipment. We're now happy to open it up for questions. So, with that, I'll hand it back over to the operator.
Operator: Thank you. We'll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Rob Brown with Lake Street Capital Markets. Your line is open.
Rob Brown: Good morning, and congratulations on all the progress.
Todd Gleason: Thanks, Rob.
Rob Brown: I just wanted to get a little bit into the business pipeline and what you're seeing there and what areas are sort of stronger or weaker and maybe some color on the order that shifted into this year.
Todd Gleason: Yeah. I'll start. This is Todd, and good question. So, we're very fortunate we feel, that number one, it's balanced across our portfolio. We would say, the themes that we talked about, Rob, with respect to continued reshoring of industrial production, that remains healthy. There is some industrial markets that are stronger and some that have sort of kind of leveled off a bit. But overall -- and you can see this in a lot of public reports that the investment in manufacturing in North America, even in Europe and other places, continues. So, Industrial Air and Industrial Water continue to look really, really strong with respect to just those spaces. I would also say that the investments we've made in the programmatic M&A really have opened up a lot of geographies for us, which again, tie into our pipeline expanding. So, those are for sure in our pipeline. And look, there is probably no better time to be in position for the continued investment that must occur in areas like natural gas, global oil and gas management of the infrastructure that exists, while the energy does -- the energy investments do start to transition to new gases, to new areas of carbon capture. And obviously, there is a lot of just increased focus on renewable energy, which again, goes back to that industrial production because if you're in wind or you're in solar, the sources of those are heavy industry. So, we continue to sort of feel that those areas just are still strong. We're not seeing any decrease I think in those critical programs for us.
Rob Brown: Okay. Great. Thank you. And then you talked a little bit about Wakefield doubling since you bought it, and a big data center kind of that opportunity there. Maybe you could just give some more color on what that data center opportunity is and how you see that playing out?
Todd Gleason: Yeah. So, for Wakefield, the data opportunity is packaging of backup power gensets. We build custom acoustic enclosures with the associated control systems for the genset packages, and we deploy them to data centers in Ireland, the U.K., with the opportunities now in mainland Europe. We're seeing that business grow substantially, and that's the reason for the acquisition of the second facility. We're moving our -- the core industrial products -- product lines of Wakefield into a site within walking distance of the current facility so we can dedicate one location to the acoustic enclosures. With the demand for AI computing, cloud computing, and data storage, the data center market in Europe is very, very strong.
Rob Brown: Okay. Great. Thank you. I'll turn it over.
Operator: One moment for our next question. Our next question comes from Aaron Spychalla with Craig-Hallum Capital Group. Your line is open.
Aaron Spychalla: Yeah. Good morning. Thanks for taking the questions. First on margins, anything in particular driving the strong fourth quarter? I know you kind of talked about mix, and I appreciate the slide on the margin progression in the deck, but can you just talk about some of the confidence in those drivers, maybe where you're at with some of those programs on lean and supply chain excellence and just how you're thinking of the margin cadence for 2024?
Todd Gleason: Yeah. I'll hand it over to Peter here in a second, but -- so, just as a reminder, our fourth quarter margins, especially on the gross margin level, are typically -- it is typically our strongest quarter. Some of that has to do with the dynamics associated with projects at the end of the year. And just as we close out a number of programs to round out the year, it allows our teams and our processes to sort of ensure that the true-up that exists throughout the year gets captured in the fourth quarter. So, there's generally just a little bit of lift from that. Probably a process opportunity for us as we look at going forward into sort of quarterly management of some of those processes, Aaron. The other thing I'd say is, yeah, we continue to make really good progress on our operating excellence. We're constantly working on small and medium programs to make ourselves more efficient. I think also things have stabilized a bit. Like I said, there is still challenges in supply chains and there is shipping lanes that continue to be impacted by geopolitical strife and other disruptions around the world, but those have been a little less impactful as we exited the year. So, for us at least, I think we've seen material costs have stabilized a bit. Our pricing remains strong. So, again, we have good visibility to our margins in the backlog as we enter 2024, and that gives us the confidence to believe that we're well on our way to get 100 basis points, 150 basis points of expansion across the combination of growth margins and EBITDA margins as we head into 2024.
Peter Johansson: And Aaron, we had some good delivery of aftermarket orders in the quarter, which have a higher gross margin than original equipment or project revenues. We also had a very strong quarter from our fluids business, that also has, relative to the portfolio, higher gross margin and the addition of Kemco. Kemco had a very solid fourth quarter. Kemco gross margins are well above company average. So, those three components, in addition to the execution items Todd mentioned, contributed. As we move through the year, our focus on driving recurring revenue and aftermarket and the benefits of acquisitions should provide an overall lift. But that fourth quarter true-up does exist within many of the projects that we operate. It's customer driven as well as internally driven. Many customers want to accelerate close-outs at year end and we resolve open issues with them which can have a beneficial impact.
Aaron Spychalla: Understood. Thanks for the color. And then maybe second just on the energy platform, can you, you talked a little bit about it, but can you expand on just the growth you're seeing there? What's driving that between kind of legacy and the energy transition? And maybe just touch on the pause on LNG exports. It sounds like that might push out some potential orders, but maybe the greater focus on emissions. Just talk about if that could help other areas of your business.
Todd Gleason: Yeah. Look, it's -- energy writ large is, has some cyclicality to it. There is -- things get going really fast for a three, six, nine month period and then they do slow down. LNG is an example of that where there is still good investment, but it does ebb and flow quite a bit. There is going to consistently be those things. We believe that the key for us is to continue to just diversify and control a little bit more of our destiny with respect to that aftermarket that Peter mentioned. So, us adding our largest aftermarket order in the third quarter of last year of $9 million, which is a two-year order, so it'll turn to $4.5 million of revenue, obviously, give or take each of those two years, that's a -- we believe that is a multi-decade renewed aftermarket order. So, we continue to just move into those spaces and where we -- the acquisition of Transcend, we believe, also gives us a lot more consistent aftermarket application with respect to separation media. And so, again, it's really just continuing to diversify. We have done a really nice job of moving into areas like carbon capture and other, we would say, sort of newer investments in energy infrastructure and energy solutions. So -- and frankly, our teams continue to do a great job of positioning for what we think are some continued themes that we serve from our energy businesses but are maybe even outside of the traditional energy like as we provide solutions for naval destroyers with respect to separation and filtration on air intake and other solutions for their turbine-powered propulsion. And there is also areas like nuclear that are starting to see a little bit more investment, and that could have a very positive impact on 2024 and 2025. So again, our key theme, and we're just probably a -- like a broken record for us, is diversification globally, diversification across end markets, we're just far less reliant on two or three or four themes like we were three or four years ago, where we would say, just you wait for refining to come back and our fluid bed cyclone business will bounce back. That's been steady or when we used to say, just you wait for the power gen market to come back and our emissions will come back, that's been steady or we would say just you wait for natural gas infrastructure, and that has been steady. So, we like steady and we still like legacy energy, but now we're just so much more diverse across that energy to go after the new sort of global emerging themes that we believe that there's still a lot of growth.
Aaron Spychalla: Great.
Todd Gleason: And you know what, like I'll say, that said, energy in the year, that energy businesses was our weakest performing if you were to break down water, energy, and air was our weakest performing orders segment of the three, but -- or market collection of the three. But again, we feel that the $3.5 billion in opportunity, it looks very balanced for energy for 2024.
Aaron Spychalla: Great. I appreciate that color. Thanks for taking the questions and congrats on the progress.
Todd Gleason: Thanks, Aaron.
Operator: One moment for our next question. Our next question comes from Bobby Brooks with Northland Capital Markets. Your line is open.
Bobby Brooks: Hey. Good morning, guys. Thank you for taking my question. So, I think the growth in the pipeline has been a really key factor and has showed just the growth that the business has experienced. I think that it's increased. The $3.5 billion number that you guys gave was about a $5 million increase from the number that you gave on the third quarter call. I know on a virtual fireside chat, Peter, you mentioned that CECO's customers haven't necessarily seen those dollars flow from government stimulus programs such as the CHIPS Act or the Investment in Infrastructure Act. And that's -- so, that has led to CECO not seeing those tailwinds from that government stimulus yet. So, am I right in assuming that, that $500 million increase in the pipeline over the quarter is partially a result of those dollars starting to flow through to customers and projects beginning to move through the pipeline and if not, what was that major driver?
Peter Johansson: Yeah. So, that's one factor contributing to additional opportunities entering the funnel. We're starting to see dollars being released, both CHIPS Act's programs being announced and dollars flowing, but also on the infrastructure side, but a majority of it is actually international. We continue to see very strong opportunities in the Middle East, India, Southeast Asia, Korea, and in China. China's slowdown has been principally affecting residential and consumer spending, but industrial spending has continued to pace. And they're at a point where they do have to make investments in some renewal, asset renewals, and we're seeing that benefit today. Our DS21 business in Korea is seeing outstanding order inquiries with both domestic and international Korean customers, and we're seeing U.S. investment in energy beginning to accelerate as the coal phase-out has found itself now really taking shape. It was about a -- years ago, we knew the coal phase-out was coming. It's quickened and now it's accelerating.
Bobby Brooks: Got it. That's really good color. And then on the Wakefield data center opportunity, is that -- so, my understanding, that's really focused on just selling into European markets, I would guess it's not…
Todd Gleason: It's only the European market, and in fact, it's only the U.K. and Ireland today. We have an opportunity and are working on expanding that into the areas around Paris, Frankfurt, Amsterdam, Madrid, and Milan.
Peter Johansson: There's a unique dynamic. When I say unique, it's because it's different than the North America data center power, supply and backup power, which is much -- can be well positioned in more rural areas versus in Europe, these are in urban centers. And the noise attenuation or the -- has to be in a very different -- is managed differently. And so, look, as we, Kemco, excuse me, Wakefield is a great example of an acquisition where we feel by us deploying capital into the business and international resources into the business, we can at least double if not more, their top-line. And we've proven that in one year of ownership of Wakefield. And to remind the audience, that of the eight acquisitions we've done, nine since 2020, but eight over the last few years, we expect that at least half of those acquisitions will double the top-line of those businesses if we haven't already within 18 months of purchase. So, we've been deploying growth capital into these businesses. They're not for cost synergies, and not necessarily, necessarily growth synergies. Yes, we do utilize growth synergies across our platforms to leverage resources, and market, and global expansion, and customer relationships, but we are finding businesses that we feel have an opportunity with just the right amount of capital to radically grow their portfolio. And that's what we're seeing with Wakefield, because it has geographically been very limited in the past and we have been opening that up.
Bobby Brooks: Got it. So, not necessarily -- you wouldn't necessarily try to start to bring over the Wakefield solutions to the North American data center -- to the North American data center market, because…
Todd Gleason: Bobby, if they call us, we'll be happy to, and if there is opportunities. But I would say, Peter's answer will be, because already anticipating it, we have a lot of opportunity in markets that we have a strong reputation and across all of Europe. And for right now, I think we have a really good and smart focus on that region.
Bobby Brooks: Okay. Got it. That makes sense. And just one last one for me. The strong -- you mentioned the strong pipeline and the backlog drove increase in guidance, but adjusted -- increase in sales guidance, but adjusted EBITDA was just narrowed. Still implies about 75 bps to 100 bps of margin improvement year-over-year. But maybe could you just discuss what drove the difference between -- what drove that raising of the revenue outlook, but just a narrowing of EBITDA and not a raise in the EBITDA outlook?
Todd Gleason: Yeah. I think it's just, it's early in the year, and we like the visibility we have. We believe that our goal for the full year is to balance our thoughts on investments that we want to make to continue to position for continued growth. Frankly, again, I always, I've been saying for the last few years, I'm the luckiest CEO in the world because I've got a great team globally. We have a great culture that we continue to invest in and add. I believe we're well positioned in critical areas that customers care about with respect to air, water, and energy transition. And they consistently come to us to help protect their people, protect the environment, and protect their investment in capital equipment. But at the end of the day, we are investing to really maintain good growth while we get smart consistent margin expansion. I feel like we -- we're optimistic that we can achieve these numbers. It's early in the year and I think we'll continue to revisit these as we execute through the quarters.
Bobby Brooks: Got it. Thanks for the color, Todd and Peter. I really appreciate it. I'll go back to the queue.
Todd Gleason: Thanks, Bobby.
Peter Johansson: Yeah. Appreciate it.
Operator: One moment for our next question. Our next question comes from Jim Ricchiuti with Needham and Company. Your line is open.
Jim Ricchiuti: Hi. Thanks. Just relative to the outlook, the preliminary outlook you gave back in November, is this simply having a better line of sight, you're a little further into '24 or are there some areas of the business that maybe are trending a little stronger than you expected back in November? Just in terms of the outlook for '24?
Todd Gleason: Yeah. It's -- I mean, look, we're 90 days or more renewed from our initial guidance. We have -- we certainly have 90 days more visibility, Jim. Obviously, we're into the year, we're two-thirds of the way through the first quarter. We have we believe a lot more visibility to our pipeline than we did back in November for 2024. We executed nicely, I think at the end of the fourth quarter. I feel like we're not grasping for ways to find performance. I think we feel like we'll continued to invest, maybe even appropriately invest in growth. Certainly, there is no corner of our business that's being starved for capital. We are really driving a good playbook of top-line and now operating excellence. So, I think, Jim, we're just -- we're a couple of months into the year, we like what we're seeing and it gives us the confidence to edge it up a little bit here, which we think is the right thing to do considering we haven't even announced first quarter results. And we just -- again, our goal is to continue to provide the investment community with our best view of that balanced investment in growth, results that we expect given of those investments, and ability to just constrain continue to drive that same operating playbook. And also, look, we're starting to kind of put together our pipeline also on M&A for the year. And while that's not included in our guidance, it certainly goes into our thinking of the types of opportunities that we could be looking at that we really could be excited about. And we believe the investment community, it'll resonate with them given our track record, that if we decide to make those types of investments as well with our balance sheet, that they're going to yield good results. So, it's a mixture of all of those areas coupled with the fact that challenges and hurdles remain, but they don't seem different than the challenges and hurdles that we've been overcoming for the last number of quarters.
Jim Ricchiuti: Got it. And I just -- I know you recommend that investors look at the annual results, but you mentioned Q1 in previous years, you've seen some seasonal weakness in Q1 and a somewhat higher percentage of revenues coming in the second half. Is there any reason to think 2024 doesn't follow similar trends that we've seen in past years?
Todd Gleason: So, there are some things that occur in the first quarter that are somewhat unique. There's a bit of a reset of various things, including usually on a cash, that's the easiest one to sort of predict the free cash flow. There is outflows of incentives, there is outflows of tax payments. It's also a time where you sort of start the year a little bit slower. Not us, but customers, global people coming back from various holidays, whether it's in North America, Asia, etc. There's mega holidays that occur and that's just sort of a restart to the year, which is a little bit slower. But we like the trajectory as we exit the fourth quarter. We certainly believe that year-over-year we have a good visibility to pockets of opportunities that we didn't have a year ago. And so, look, I think at the end of the day, the first quarter has some unique aspects to it that I would call less seasonal, just more structural. And look, the fourth quarter orders, which again, a top sixth -- six quarter in our company history, so no one's here to apologize for $128 million of orders. But as Peter mentioned, the timing of some of those orders got pushed into the first quarter. So, we feel like we kind of entered the first quarter with a decent amount of visibility to a good -- potentially a good bookings quarter. So, we're hopeful that things don't push out into the second quarter as well. That'll help us as we have even more visibility to the second half of the year from a top-line performance.
Jim Ricchiuti: Got it. Final question for me is, and Peter, you may have alluded to this, but I wanted to just ask about the step-up in SG&A expense that we saw in Q4, but I thought I heard you talk about some leveling off of some of the G&A expense, I don't know if that's what you're referring to.
Peter Johansson: Yeah. G&A spend will level up. The big step-up in the fourth quarter was the acquired business.
Jim Ricchiuti: Okay.
Peter Johansson: Was the addition of Kemco.
Jim Ricchiuti: Okay.
Peter Johansson: There were some organic investments, but they were modest and they're leveling up. It was the acquired business that drove a large portion of that increase.
Jim Ricchiuti: Thank you. Congrats on the year.
Peter Johansson: Thank you.
Operator: One moment for our next question. Our next question comes from Bill Dezellem with Tieton Capital Management. Your line is open.
Bill Dezellem: Thank you. I only have a couple of questions. The first one is, in your slide deck you referenced an improving macro environment. Would you talk in more detail to that? And then secondarily, share with us your perspective on your M&A pipeline and how you're envisioning pricing today versus what you've seen in the past.
Todd Gleason: Well, the improving macro environment principally is related to what's happening in Europe. Europe is an improving situation. European economies are experiencing much lower inflation. They may even be the first to experience a rate cut. We're seeing demand return in a number of markets that was slower at the end of the year. So, that's related to macro. Macro in the U.S. and Asia has continued steady and strong. We have experienced, relative to the M&A pipeline, a pause. Q4 was a -- for us, was a conscious pause. We were working on opportunities but had nothing teed-up to close. We had work to do with Kemco on the integration. We wanted to reset and improve the balance sheet, and we've done so. And we've put ourselves squarely in a position with added liquidity and a very modest 1.4 times leverage to be ready to deploy capital. We began to accelerate our development of opportunities with ideas that are in the pipeline in the first quarter. And we would suggest you're going to begin to see that capital deployment begin in earnest in the second quarter of the year.
Bill Dezellem: And how about pricing? What are you seeing there relative to past levels?
Todd Gleason: Same or lower.
Bill Dezellem: Thank you, and congratulations on a great quarter.
Todd Gleason: And -- thanks, Bill. We appreciate your continued support and all of our investors, of course. One last thing I wanted to just add to the M&A comment, just because I think it's important that our investors understand. We've walked away from twice as many deals as we've done. And we're not alone in that. companies do that. You build the pipeline, you start to do analysis, build relationships, and you realize that their expectations on pricing or maybe the cultural alignment or maybe the product category wasn't as strong, or there's a variety of reasons that companies start to do an assessment and then decide that it's not the deal for them. And we've done that each of the years that we've done M&A. And so, with respect to pricing, if it doesn't have the right economic returns for us and our shareholders, then it's just not something we're going to do. So, if we're paying a little bit higher or lower multiple, it's because it's the right fit for our portfolio.
Operator: Thank you. One moment for our next question. Our next question comes from Amit Dayal with H.C. Wainwright. Your line is open.
Amit Dayal: Hey. Good morning, guys. Just going back to the international revenue.
Todd Gleason: Hey, Amit.
Amit Dayal: Hey. Good morning. How much of 2024 outlook is going to be international revenues and is this going to be supportive to margins? Do you think you can get better pricing on offerings in those markets versus the U.S.?
Todd Gleason: I'll start. International markets are going to be in the neighborhood of a third to 40% of the business. With respect to margins, margins are really driven by the end market and the application. We find we get superior margins in very challenging applications in any of our brands regardless of where the opportunity lies. U.S., Asia, Middle East, Europe, it's not one -- we don't have a low margin region. We don't have a low margin, shall I say business. What we have are brands in our company where that have different degrees of leadership and competitive advantage, where margins are either under pressure or to some degree under pressure or not. So, look, in that -- with that context, if we think about what's happening internationally, big investments in industrial -- industrialization in India, in Southeast Asia, and the Middle East, as they begin to diversify their economies and they're looking at best-in-class technologies first and only defaulting to something less than best-in-class if it is something that can't be achieved. And a best-in-class technology comes with a global price. And that's our starting point. Now, that's not for every customer, but that's for the majority of the customers that we serve.
Amit Dayal: Understood. Thank you. And just one last one. With respect to the sales and backlog and pipeline, are you seeing synergies for the different product segments within the customers? Basically what I'm trying to ask is, like, now you have a broader offering or product portfolio, are you seeing the same customers buying more of your products versus previously?
Todd Gleason: Well, we don't consciously seek to cross-sell. We have organized our business in a way that ensures that we have end market and application focus. We may use select customer relationships in one business to open doors for another business, but we don't have an incentive built into our comp system or our management model to drive a cross-sell. And that's on purpose. Now there are certain and select customers that approach us and ask to do business with more than one brand or one business and we accommodate that and we support that completely. And we see that in very few but important end markets, one being semiconductor and another being automotive production, or automotive and component production, where across brands we see a need and we have had the opportunity to combine multiple brands in front of a customer, but we've not organized a sales force to do that and we've certainly not deployed a strategy to do that.
Amit Dayal: Understood. That's all I have, guys. Thank you so much.
Todd Gleason: Thanks, Amit.
Operator: This concludes the Q&A portion of today's conference. I would now like to turn the conference back over to Todd Gleason for any closing remarks.
Todd Gleason: Yeah. Thanks for all the good questions. I appreciate everyone interest and we went over today, so we're happy to always try to be available, which of course we'll continue to be as we go forward. Really pleased with our performance. Look forward to meeting and seeing a lot of you if you're at the upcoming TD Securities Conference as well as the Roth Conference, both of which are in California in the next handful of weeks. So, we hope that you reach out to your representatives and we have a chance to sit down and catch up. We look forward to speaking with everyone again when we release our first quarter results in May. So, with that, I'll just thank everybody for their time and their interest, and we look forward to speaking with you soon. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.